Operator: Good afternoon, and welcome to the 1-800-FLOWERS.COM, Inc. 2025 Third Quarter Results Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Andy Milevoj. Please go ahead.
Andy Milevoj: Good afternoon. Welcome to our fiscal 2025 third quarter earnings call. Joining us today are Jim McCann, Chairman and current CEO; Adolfo Villagomez, incoming CEO; Tom Hartnett, President; and James Langrock, CFO. Before we begin, I'd like to remind you that some of the statements we make on today's call are covered by the Safe Harbor disclaimer contained in our press release and public filings. During this call, we will make forward-looking statements with predictions, projections, and other statements about future events. These statements are based on current expectations and assumptions that are subject to risks and uncertainties, including those contained in our press release and public filings with the Securities and Exchange Commission. The company disclaims any obligation to update any of the forward-looking statements that may be made or discussed during this call. Additionally, we will discuss certain supplemental financial measures that were not prepared in accordance with GAAP. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP measures can be found in the tables of our earnings release. And now I'll turn the call over to Jim.
Jim McCann: Thanks, Andy, and good afternoon, everyone. Just a short while ago, we made two major announcements to mark an exciting new chapter for our company. We introduced our transformative long-term strategy, Celebrations Wave, and welcomed Adolfo Villagomez as our new CEO, who will spearhead this new strategy. Before we dive into Celebrations Wave, let's take a moment to consider the journey that led us to this point. In recent years, our company has faced several macro challenges, including the COVID bullwhip effect, inflation, bifurcated consumer markets, ocean freight disruptions, and rising customer acquisition costs, all during a time when shifting technology and evolving consumer engagement preferences have made our traditional marketing approach less effective. These are coupled with some newer issues, including a rapid decline in consumer confidence, tariff impacts, and discussions of a possible recession. These external factors are significant, and we also have encountered internal challenges. Notably, our decision to shutter most of our retail operations during COVID and recent difficulties with our order management system implementation. These are mistakes of our own making and all obstacles that we're confronting as a management team. Although we face certain challenges, as we've outlined in our press release this afternoon, we have developed a comprehensive plan to address them. This plan includes reorganizing our structure, reducing our costs, and ensuring we have the right leadership to lead us into the future. Improving systems, marketing, and merchandising, optimizing our product assortment, pricing, and partnerships, and testing new retail concepts, improving our loyalty program, and maximizing our last-mile capabilities. Let's begin with leadership and the new talent we brought onboard to accelerate our changes. We're excited to welcome Adolfo to the team. Adolfo has significant experience in leading consumer businesses, digital transformations, and the shift in business models. He understands our challenges and has driven transformative changes throughout his career. Through Adolfo's approach to leveraging data analytics and consumer insights, he has achieved remarkable success in his previous roles. His expertise will be instrumental in continuing our legacy of innovation and connecting more deeply with our customers through cutting-edge digital experiences. The team and I look forward to working with him as he leads us through this next wave of our celebrations journey. Before we conclude, I'll also ask Adolfo to introduce himself. We have also recently welcomed Henry Mori to our executive team as our Chief AI and Transformation Officer. Over seventeen years of experience leading digital innovation and AI strategy at startups as well as global companies. Henry has a proven track record in driving growth through AI-driven initiatives and will ensure we remain at the forefront of innovation and transformation. Beyond enhancing our leadership team, we've added expertise to our Board of Directors, with the addition of Shelly Palmer. Shelly brings extensive experience in technology, media, and marketing, which will be invaluable as we navigate our next wave of innovation. His strategic insight and industry knowledge will guide us in leveraging new opportunities and strengthen our market position. Our company has a rich history of innovation and has consistently embraced the need to adapt in response to structural changes in the operating environment. We have conceptualized these innovations in five distinct waves, which include our retail stores, the launch of the national 1-800-FLOWERS number, the introduction of e-commerce, and the shift to mobile social commerce, which ultimately became conversational commerce. The commonality amongst these waves is a recalibration of our business model and practices to reflect ever-evolving technology and consumer buying preferences. We are now writing a new wave, one that we are embracing and whose momentum will carry us into the future. Celebrations Wave is our sixth wave of innovation, and we expect it to be the most transformative. Advancements in technology and shifting consumer buying preferences demand it. Celebrations Wave represents a significant evolution of our company. It integrates our strategic initiatives and brand assets that utilize advanced technologies to create a comprehensive celebrations ecosystem. Our company has always been focused on helping inspire consumers to give more, connect more, and build more and better relationships. We believe in the joy of giving and recognize that expressing sentiment is an ongoing consumer need not limited to holiday periods. After all, relationships are an everyday business. Now, new technologies align with our goal to create a comprehensive ecosystem that helps customers build and deepen their relationships. Celebrations Wave will further our mission by developing a new ecosystem that helps customers foster deeper, more meaningful connections. These changes will directly elevate the customer experience and address key pressures on our financial performance. This represents the most comprehensive strategic plan in our company's history. We believe it will directly benefit our customer experience and drive significantly improved results. We've been preparing and positioning ourselves for this opportunity through our relationship management tools, sentiment-first approach, and recent sentiment expression-based acquisitions. Most importantly, we are evolving our business model to adapt to changes in technology and consumer behavior, ensuring our continued growth and future success. We look forward to sharing more of our plans with you on this call and when we interact in the future. But first, James will provide an update on the third quarter performance. To say we are disappointed with the results is an understatement. Following James, Tom will provide more details on the strategic actions we are taking with Celebrations Wave to address this underperformance. James?
James Langrock: Thanks, Jim, and good afternoon, everyone. Today, I'll review our Q3 performance, the significant factors that contributed to it, and how Celebrations Wave will help address a number of these issues. Please note that all comparisons are made to the prior year period and represent adjusted results unless otherwise stated. Our third quarter performance was challenging. We are observing consumers being affected by macroeconomic forces. More recently, consumer confidence and sentiment have declined in response to various uncertainties, including potential tariff impacts on inflation, a softening labor market, and shifting economic policies. We saw continued softening as the quarter progressed, and consumer sentiment declined sharply. In addition to broader macroeconomic pressures, we are increasingly impacted by the decline of free and low-cost marketing channels as digital platforms shift toward paid placements, sponsored listings, and AI overview responses that limit organic visibility. While this presents near-term challenges, we see this as an opportunity to fundamentally change our customer acquisition and marketing approach. For perspective, our sales and marketing spend as a percentage of revenue has averaged approximately 25% over the past five years. Over the long term, we expect to reduce our marketing spend as a percentage of revenue by adopting strategies that are more efficient in increasing engagement and frequency with existing customers through Celebrations Wave. As we have observed for some time, customers are more inclined to shop during holidays, as we experienced for Valentine's Day, while everyday and just-because occasions continue to face significant pressure. As a result, our third quarter revenue declined 12.6%. This was comprised of an 11.4% decline in our Consumer Floral and Gift segment, an 18.2% decline in our Gourmet Foods and Gift Baskets segment, and a 4.5% increase in our BloomNet segment. Our third quarter adjusted gross profit margin declined 350 basis points to 33.1%, which excludes $4.6 million in costs associated with the new system implementation as we work to resolve the issues identified during the holiday period, and was driven by a highly promotional sales environment and deleveraging on the sales decline. We expect to have any remaining issues with the order management system implementation resolved by the end of fiscal 2025. Additionally, for reasons we discussed, our marketing expenditure did not yield the results we expected. Now let's turn to our third quarter operating margins. During this quarter, we recorded a non-cash goodwill and trade name impairment charge related to the company's Consumer Floral and Gift segment and its personalization mall trade name. While this impairment impacted earnings for the period, it did not affect our cash flow. Adjusted for this charge and other items, operating expenses were $160.7 million, essentially flat compared with the prior year period. Based on these factors, our third quarter adjusted EBITDA loss was $34.9 million as compared with a loss of $5.7 million in the prior year period. Now turning to our balance sheet. Net debt was $75 million compared with $9 million a year ago. Our cash balance was $85 million at the end of the third quarter. Inventory was $160 million, essentially flat with a year ago. In terms of our debt, we had $160 million in term debt and no borrowings under our revolving credit facility, as compared with $192.5 million a year ago. At the end of the quarter, we amended our credit agreement as described in the Form 8-Ks that we filed today. Now I'd like to take a moment to discuss tariffs, our exposure, and the strategies we are implementing to address these issues. At present, there is an incremental 10% tariff on imported goods, with a far larger tariff affecting goods arriving from China. For perspective, we have approximately $1 billion of cost of goods sold, of which approximately $70 million is imported and subject to tariffs. Approximately half of that $70 million comes from China. Based on current policies and assuming they remain in place as is, we estimate our tariff exposure to be approximately $55 million, with the most significant impact on our personalization and wholesale businesses. Whereas China had been the least cost provider in the past, we are reexamining our opportunities based on the new calculus. Additionally, to help mitigate the new tariff policies, our approach includes working with our vendors on concessions, changing componentry, modifying our assortment, and as a last measure, how much to pass through in pricing. Given the evolving macroeconomic landscape and the uncertainties that continue to shape the near-term outlook, we have made the decision to withdraw our guidance. This decision reflects not only the unpredictable external factors affecting the broader environment but also our focus on executing a transformational strategy that positions our company for long-term success. As we embark on this next phase, while there may be some short-term variability, we remain confident in our ability to enhance operational efficiencies, drive sustainable growth, and create lasting value for our stakeholders. Looking ahead, we acknowledge the multifaceted challenges we face, both internal and external. The fluidity and uncertainty of the current environment, including consumer sentiment and tariff policies, necessitate a tactical approach to navigate these obstacles effectively. While we are currently addressing these immediate challenges, we are also committed to our long-term vision of transforming how people celebrate and manage their relationships. Celebrations Wave aims to reduce costs and increase revenue by increasing frequency and restoring growth in everyday celebration opportunities, addressing affordability for all households while offering elegant products for higher-income consumers, enhancing engagement, and using tools like personalized reminders to significantly reduce customer acquisition costs. We expect our Celebrations Wave strategy to substantially improve our financial performance over the next few years. By leveraging advanced technologies, we plan to operate with greater efficiency and agility. To support these investments, we are implementing cost reductions and plan to reduce costs by approximately $40 million on an annualized basis, including $17 million in reductions already executed. We anticipate that our efforts will lead to higher profitability and cash flows. And now I'll turn it over to Tom to share some more details on Celebrations Wave.
Tom Hartnett: Thanks, James. As we embark on our latest evolution with Celebrations Wave, we expect to transform how people connect and express themselves in meaningful ways. Our vision is to become the top destination for nourishing relationships through heartfelt expressions. The advantages of this transformative shift in our business model and customer engagement are intended to directly address the key factors influencing our growth and financial performance, positioning us for long-term success. This strategic plan seeks to increase revenue above everyday and holiday occasions, optimize operations, lower costs, and accelerate the pace of change, leading to a higher EBITDA and cash flow over time. To achieve this, we are developing a celebrations ecosystem that is sentiment-led to help our customers build stronger and more meaningful relationships. This ecosystem is comprised of a newly launched celebrations app, a content-rich approach that includes a new celebrations website that will be launched in the coming weeks, and a reimagined Celebrations Passport loyalty program. Celebrations Wave will utilize a ladder approach to drive sales growth and offer customers tailored experiences using personalized suggestions based on the nature of their relationships and their historical spending patterns. The customer journey begins with free and low-cost greeting card options, digital or printed, that are expected to increase overall engagement and frequency. And of course, customers can always start their experience by selecting a gift from our family of brands or marketplace offerings and attach a greeting card to the gift. The North American card market is greater than $6 billion, and our capabilities to fulfill gifts attached to those cards, in many cases on a same-day or next-day basis, is a significant differentiator. By offering a wider range of products and price points that cater to various occasions and budgets, we expect to attract a broader audience and strengthen customer loyalty. The enhanced celebrations ecosystem will enable us to increase engagement and frequency amongst existing customers and attract a younger, more diverse customer base, allowing us to rely less on traditional bottom-of-the-funnel marketing to acquire new customers, which has increasingly become more costly and less effective. As James mentioned earlier, our sales and marketing costs represent approximately a quarter of our revenues. We anticipate that our new celebrations ecosystem will meaningfully reduce our customer acquisition costs and enhance customer lifetime value over time. Beyond our well-known brands, our customer lists, floral partners, and last-mile delivery capabilities are significant assets. These assets collectively form the foundation of our strategy to drive future growth and elevate our presence in the market. As we build on our foundation, data is central to advancing our strategy and driving growth. These components are combined with new and emerging technologies such as AgenTeq AI, which will provide a hyper-personalized sentiment-first approach to helping our customers nourish their relationships. This personalization strengthens our ladder strategy and positions us for continued relevance in a rapidly evolving consumer landscape. Celebrations Wave advances our vision of becoming the premier relationship destination for heartfelt expressions with a business model that aligns with future technological advancements and consumer purchasing preferences. We look forward to keeping you apprised of our progress. And now I'll turn the call back to Jim.
Jim McCann: Thanks, Tom. Before I provide my closing thoughts, I'd like to take a moment to introduce Adolfo Villagomez to our investor community. Adolfo, would you like to say a couple of words?
Adolfo Villagomez: Thanks, Jim, and good afternoon, everyone. I am truly honored to step into the role of Chief Executive Officer at 1-800-FLOWERS.COM, Inc. during such a dynamic period for the company. I am excited to be here, and I am deeply optimistic about the future. With the company's exceptional portfolio of brands, innovative ecosystem, and forward-thinking relationship-building strategies, we are on the verge of a transformative digital revolution in relationship building. I am eager to collaborate with Jim, Tom, James, and the entire leadership team to drive growth and help individuals forge deeper, more meaningful connections. Together, we will steer the future of e-commerce, establish our prominence as a leader in expressing sentiments, and nurture meaningful relationships. In the coming months and quarters, I look forward to meeting with many of you, sharing our vision, and discussing the impactful progress we are making. Your support is invaluable as we embark on this journey of transformation and growth.
Jim McCann: Thanks, Adolfo. As we move forward with Celebrations Wave, our mission is clear: to improve people's relationships by enhancing the way they connect and share their sentiments. By leveraging innovative strategies, cutting-edge technologies, and our robust collection of assets, we are creating a celebrations ecosystem that anticipates and meets the evolving needs of our consumers. With Celebrations Wave, we expect to improve revenues by increasing engagement, frequency, and retention of our existing customers. At the same time, we plan to reduce costs and improve efficiency through embracing new technologies, positioning us to sustain and profitable growth. We thank you for your continued support, and we look forward to sharing more about our progress. I'll now ask the operator to open the call for your questions.
Operator: We will now begin the question and answer session.
Anthony Lebiedzinski: And our first question will be from Anthony Lebiedzinski with Sidoti and Company. Please go ahead.
Anthony Lebiedzinski: Good afternoon, everyone, and thank you for taking the questions and welcome aboard, Adolfo. Look forward to working with you.
Adolfo Villagomez: Thank you.
Anthony Lebiedzinski: So yeah. So first, I know Jim, you touched on this a little bit, and I think as far as how the quarter progressed. But maybe if you could guys give us a little bit more details as far as, you know, January through March. I know you had the Valentine's Day, which fell on a Friday, which I think was a favorable day placement. So maybe you could just speak to that and also whether the Easter shift had any meaningful impact on the quarterly sales.
Jim McCann: Hi, Anthony, Jim. Yes. I'll ask James to give you the color, but just an overview of the quarter. The quarter was bracketed on each side of Valentine's Day. Yes, Friday is a good placement for Valentine's Day. And the holiday wasn't bad. But the softness in January on the everyday business and then the softness again in March with the everyday business is what hurt the quarter. The Easter shift, of course, does make a difference. That's why we always suggest that we be viewed as a two-half company. You have the summer quarter, which is our first quarter, which is your big inventory build and your labor build for the holiday season, the Christmas holiday season, Thanksgiving, Christmas, and then we have the Easter shift in the second half of the year, which always confuses the quarter. So the Easter shift did have an impact, and James can quantify that for you at some point. But the tale of the first calendar quarter, the third fiscal quarter for us, was soft every day, pretty good holiday business, and overall just too expensive on a marketing side.
James Langrock: So Anthony, with the Easter shift, revenue was down, reported revenue was down 12.6%. But if you adjust for the Easter shift, we would have been down 0.9%. And as Jim mentioned, January and March were much weaker because that's the everyday compared to February, which held up better in the quarter due to the Valentine's Day placement.
Anthony Lebiedzinski: Gotcha. Okay. And then in terms of the system implementation issues, so I know you called out like around the $4.6 million hit to gross profit. But in terms of just overall thinking about how much sales that you lost because of these issues? Any way to put a number on that?
Jim McCann: Yes. James will give you the number. This is Jim, Anthony. The implementation of the order management system was a colossal screw-up on our part. The numbers are one thing, but I think it was even worse than that. We're coming to the end of that impact in the near term. So by the end of this fiscal year, June, we'll be through that cleanup. But it was mishandled by us in every way imaginable. And yes, there's the raw data on that. But what I'm concerned about most is we disappointed a lot of customers on the Harry and David side, food group side of things, during that holiday period. We're doing our best to make it up to them now, calling them, seeing what we can do to remediate, apologizing, explaining what happened, and trying to win their consideration back. I think that's going reasonably well. I'm just sick that it happened in the first place. And it's had an overhang on us because it hurt us across our brands. Because we have an enterprise-wide customer solution, customer service solution, and it got overwhelmed by the demand from the Harry and David leads, so it hurt all of our brands. So James will give you the numbers, but that doesn't tell half the story. The any good news is it's coming to an end. The system is nearly wrapping up on all its amendments. It'll be a good system going forward. But it should never have happened. My mistake. James?
James Langrock: Yes. So, as Jim mentioned, we've in the past few months been working through remediating most of the complex order issues and went through most of that. So we believe there's some cleanup still, we'll have that all taken care of by the end of our fiscal 2025. From top line, obviously Q2 is the significant holiday period for the food group, and we believe that was about $20 plus million of top line at a minimum that we quantify. In Q3, there was probably some residual hangover, but we haven't measured that. Obviously, Q3 is not a food holiday period, so there's a lot less out there, but there definitely was a residual hangover. And you could see the top line was down in our expenses. Then you have the incremental cost in margin was about $4.6 million, Anthony, so the cost over the two quarters was close to $11 million of cost incremental costs on the implementation of OMS, which included the inventory write-offs.
Anthony Lebiedzinski: Right. And my last question before I pass it on to others. So looking at these Celebrations Wave program, it is a multiyear initiative as you called out. Maybe you could just kind of talk about the timeline, like what's kind of the maybe easy or low-hanging fruit, so to speak? What can you achieve first? In the first year of implementation of this new program? What's kind of going to be more on the back burner, to speak?
Jim McCann: So the primary focus of the Celebrations Wave is something you've heard, Anthony, you've heard us talk about for a while. The celebrations capabilities. Now we have the ability and the tools. So when you think of what the impact of AI is on us, it's really twofold. One is how do we reengineer ourselves now, which we're doing, to be much more efficient, to be much more lean, and to improve the level of service we provide our customers. That's on the internal facing, how do we do what we do better and cheaper. And then externally facing customer facing, AI gives us tools now to do things that a year ago, two years ago, we only dreamt of being able to do. You factor that into the couple of the acquisitions that the team has done in the last couple of years, position us to really go after the sentiment-first capability, the sentiment-first philosophy around the Celebrations Wave have really come to force. So last year, we purchased a greeting card capability, including a wonderful team of people that have as their DNA, this whole sentiment-first mentality. Tom, maybe you can touch on how many cards we're already selling and how we're just getting into that. But we, as celebrations, ecosystem is that mentality of how do we serve our customers with free, inexpensive, and high-quality ways of expressing their sentiment and oh, by the way, when they want to attach a gift, we have a beautiful assortment there. But then, Tom, maybe talk about how we'll introduce it primarily with our existing inventory of media or house media as a first step.
Tom Hartnett: Yes. Hi, Anthony. Tom. Just a couple of things. As we start off, the first piece is our relationship management capabilities. We talked about our new app that's out there. We have enhanced capabilities with our address book and our login capabilities. And it's utilizing our first-party data now to define and look at the social graph around relationships and occasions. A big piece of this is also our occasion reminders that we've been doing fairly well, and we keep growing that data repository. Also, our personalized experiences on our platform, we continue to make good progress in, especially with ML and AI, in personalizing all our experiences on our platforms. As Jim alluded to, it is now with the acquisitions of our Celebrations card business, and some of the other attributes we have and the businesses we have implementing our ladder strategy, having a low-cost free environment where we can bring people so it reduces the barrier to buy, the barrier to engage. So with free greeting cards and gift cards, things like we've talked about in the past, like Muggables, as well as premium gifts. Right? That's all part of the journey here. And then as Jim mentioned, the use of AI in personalization, in our content development, and agentic shopping, in how we're bringing to bear and utilizing it for advancements in our customer care. I think that kind of rounds out what we're trying to achieve here and bring all that foundational elements, which a lot of them are already built in this forthcoming year.
Anthony Lebiedzinski: Got it. Thank you very much, and best of luck.
Jim McCann: Thanks, Anthony. Thank you.
Operator: Our next question will come from Michael Kupinski with NOBLE Capital Markets. Please go ahead.
Michael Kupinski: Thank you and thanks for taking my questions. I welcome Adolfo as well. A couple of questions. So you've been dealing with a bifurcated market for some time, and I was wondering if the revenue weakness that you've seen in the last quarter was related to any like maybe the higher end or the lower end customers? Was there a shift towards lower-end pricing products? Can you just kind of add some color to what we had seen prior to this particular quarter? Related to the customers themselves.
Tom Hartnett: Hi, Michael, it's Tom. Yeah, I think continued to trend with the macroeconomic environment, we are seeing more challenges with our lower-income consumers where, you know, their discretionary spending has been reduced. We've seen good retention with our best and better customers. It's where we're losing the retention or losing the buying right now is with those customers that are most challenged and struggling.
Jim McCann: Got you. Introduced a few higher price points in the $500 to $1,500 price range and frankly sold out of all the items we introduced. So the comfortable customer continues to spend and spend well. Our average ticket has been up over the last couple of years, and I think that's a function of having a broader range of price points and losing customers at the lower end of the income grade as taking those lower price points out, which has artificially propped up our average order back.
Michael Kupinski: Yes. You mentioned that there is a competitive landscape in the floral business increased. Can you mention and you mentioned it was highly promotional. Do you believe you lost share in the floral business?
Tom Hartnett: We don't believe so. We look at our market share annually. And with our larger brands, we don't believe we've either maintained or gained share in the last year.
Michael Kupinski: Okay. And you mentioned that personalization mall as well as your wholesale business are two of those that are most impacted by tariffs. I'm surprised that you didn't mention BloomNet in there because it seems to me like some of your products there are also sourced maybe in Asia. And I was just wondering if you could just talk about the impact on BloomNet.
Tom Hartnett: Yes. So when we said wholesale, Michael, that's including the NAPCO and BloomNet side of it. NAPCO is a big piece of it in the wholesale. So that was when we said wholesale, that did include the NAPCO BloomNet wholesale business as well as the food wholesale business. But on the BloomNet as related to our fulfillment partner, the retail floral and gift fulfillment partners. Less affected because their tariffs are going to be for South America, which are in the 10% range. Versus 145% on componentry we're importing from China.
Michael Kupinski: Got you. And then I was just wondering in terms of since we're already through this fiscal fourth quarter, can you kind of give us a sense of how April's revenue trajectory did it worsen from where you were in March? I was just wondering if you can kind of give us just the general trends that you saw in April.
James Langrock: So in April, we'll be obviously, we'll be up because of the Easter shift in April. So obviously, holiday buying was where we thought it would be. Still seeing the softness in the everyday business. And for the quarter, we believe that will be slightly better. As far as the Easter shift and obviously we're getting close to Mother's Day. We got to see get through Mother's Day. But for the quarter, be slightly better than we were in Q3.
Michael Kupinski: Thank you for that. That's all I have. Thank you.
Jim McCann: Thank you, Michael.
Operator: Our next question will come from Doug Lane with Water Tower Research. Please go ahead.
Doug Lane: Yes. Hi. Good afternoon, everybody. Jim, I think in your earlier comments, you mentioned that exiting retail during the pandemic was a mistake. Can you elaborate on that? What you've done differently with Harry and David retail stores? And then while you're discussing retail, can you give us an early read on the Long Island store?
Jim McCann: Sure. Happy to. My opinion is that when our hair was on fire at the beginning, well, I should have made hair jokes. When things were going wild at the beginning of COVID, when we were growing 100% or thereabouts in our e-commerce, and we had no idea how long we could close our stores, which sold a lot of perishable products. The decision was made to walk away from those. Now, with the benefit of 2020 hindsight, that $50 million of solar revenue that we walked away from, I'd still like to have because I'm a believer in a multichannel kind of approach, we all are. And so mistake, I'll admit to it that we made that mistake. We also shuttered other retail plans that we had in development because it was all hands on deck to keep up with the explosion of growth in the e-commerce side. That being said, if I could wave a magic wand, I would I'd still have those stores. I'd still have the other experiments we had going on in retail, but now we're getting back to it. We'll do we did half a dozen holiday stores this past Christmas. We're really pleased with the results of that from a brand point of view and from the sales point of view, from an exposure of our different brands. That went well. We're gonna be bigger, this team will have a bigger opportunity to do holiday stores this year. We opened up the Harry and David store, which is a representation of several of our food growth brands. Have a Schaffenburger section there, have a big Cheryl section in there. It's a beautiful stage and retail permission. You can do retail and make a couple of bucks out of it, it's free marketing. Because customers see your brand, they engage with you, and we you remember acquired a very small company a couple of few years ago called Alice's Table, right, before COVID. Not good timing. Didn't buy a live events company. But we've repurposed those assets and those relationships. And under the celebrations experiences brand, you'll see at the Huntington store of Harry and David and 1-800-FLOWERS, you'll see Schopenhauer Berger chocolates. You'll see Moose Munch. Vital Choice, our Harry and David brands, our new nut line from Beaver Creek. I'm gonna hire David umbrella. All of them represented there, and we did a big grand opening party and a board dinner there a couple of weeks ago. It was fantastic. Had a better hundred people in the store, great experiences. And we have a section in front of the store right up front where you can see in the window and this is one of the most highly trafficked intersections on Long Island. And all these cars driving by seeing all of these people taking classes in there, day and night, building out a whole program there, all the different classes. So people come in, they interact, they have a great experience. If we can make a couple of bucks with that, and then they all get a little gift bag can walk around the store and fill it with all different kinds of items. Our Cheryl's Cookie product is our best-selling item in that store right now. So we are and have been retailers for most of our fifty years made the mistake of shuttering those, we're coming back in a deliberate and tested fashion holiday stores with different kinds of concepts. And I believe that if we are deliberate about that, it'll play an important and meaningful role in our marketing scheme slash sales going forward. Most especially we get to interact one on one with our customers and have a different sense of our brand when that happens.
Doug Lane: So this year or over the next I don't know, twelve, eighteen months, are we looking at just expanding the holiday stores? Or do you think you'll take your learnings from the Long Island store and start to expand that concept?
Tom Hartnett: Yeah. Well, we our plans are to have a handful of full year-round stores as we test into those, maybe a little bit more, certainly over eighteen months more. So I mean, obviously, we're looking at high traffic locations and then, yes, we will continue to be doubling down on the seasonal stores also.
Jim McCann: I'd point out that one of the good hires that we've made in the last few months was to help run our real estate efforts, where it has a real deep retail knowledge and great contacts. And, frankly, I was just chatting with him this morning about some of the opportunities he's under before. He's become a real asset very quickly. But he knows retail inside out and he's got his own jazz about the opportunities. But don't tell him I said that in the last four weeks.
Doug Lane: Alright. That's our secret. Thank you, guys.
Operator: With no further questions, this will conclude our question and answer session. I would like to turn the conference back over to Jim McCann for any closing remarks.
Jim McCann: Well, it's been a pleasure to interact with you. I look forward to continuing to do that, but I really look forward to Adolfo being in because I'm excited about them being here. I'm excited about the new additions to the team that we've made lately. I'm getting out of Tom's way and bringing someone in that has a lot more to offer than I do. That's exciting for me. I think you can tell that I'm disappointed in our performance of late. Some of this macro, yes, some of it's of our own doing. We have been up to that, and indeed, we do. But I couldn't be more excited about what our future looks like with our Celebrations Wave initiative. This is the sixth wave for us. So five decades with six waves, starting with stores, then raising the 800 number, then online, then social, then mobile, conversational commerce. This one now is the most exciting for me because it comes closest to enabling us to be able to fill the dream we've had for a long time of playing a more important role in our customers' lives by helping them to have more and better relationships. And that starts with our engagement with them, the tools we can help them to be genuine about their investment in more, better, and deeper relationships. So, Adolfo, I welcome you as well and congratulate you. I couldn't tell you how excited I am to have you with the helm of what I think is not a ship, but a rocket ship. Thank you.
Adolfo Villagomez: Agree with you, Jim. And I'm super excited to be here, so looking forward to working with you guys. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.